Operator: Good afternoon, everyone, and welcome to the NextNav's Fourth Quarter and Full Year 2021 Earnings Conference Call.  Participating on today's call are Gary Parsons, NextNav's Chairman; Ganesh Pattabiraman, NextNav's Co-Founder and CEO; and Chris Gates, NextNav's Chief Financial Officer.  Before we begin, please note that during today's presentation, the company may make forward-looking statements, either in our prepared remarks or in the associated question-and-answer session. These statements which involve risks and uncertainties relate to analyses and other information that are based on forecasts of future results and estimates of amounts not yet determinable and may also relate to NextNav's future prospects, developments and business strategies. In particular such forward looking statements include statements about NextNav's position to drive growth in its 3D geolocation business and expansion of its next generation GPS platform, the business plans objectives, expectations and intentions of NextNav, NextNav's partnerships and the potential success thereof and NextNav's estimated and future business strategies, competitive position, industry environment and potential growth opportunities. These payments are based on current expectations or beliefs and are subject to certain risks and uncertainties that may cause actual results to differ materially. Such forward-looking statements are subject to known and unknown risks, uncertainties, assumptions, and other important factors, many of which are outside NextNav's control that could cause actual results to differ materially from the results discussed in forward-looking statements. These risks, uncertainties, assumptions, and other important factors include, but are not limited to the ability of NextNav to continue to gain traction in key markets, with notable platforms and partners, both within the U.S. and internationally; the ability of NextNav to grow and manage growth profitably, maintain relationships with partners, customers and suppliers, including with respect to NextNav's Pinnacle 911 solution and it's TerraPoiNT network, and the ability to maintain its management and key employees; the ability to maintain balance sheet, flexibility and generate, effectively deploy capital in line with its business strategies; the possibility that NextNav may be adversely affected by other economic business and/or competitive factors, including the impact of the ongoing COVID-19 coronavirus pandemic; other risks and uncertainties indicated from time to time documents filed with Securities and Exchange Commission by NextNav. New risks and uncertainties arise from time to time, and it is impossible for us to predict these events or how they may affect us. You are cautioned not to place undue reliance upon any forward-looking statements, which speak only as of the date made. And NextNav undertakes no commitment to update or revise the forward-looking statements, whether as a result of new information, future events, or otherwise. Those factors that may impact our performance are identified in our most recent SEC filings. Following our prepared remarks, the company will host an operator led question-and-answer session. [Operator Instructions]. In addition, at the conclusion of today's call, a replay of our discussion will be posted to the company's Investor Relations website. With that, I'll turn the call over to NextNav Chairman, Gary Parsons. Please go ahead.
Gary Parsons: Thank you very much, Taniya, and welcome, everyone, to NextNav's fourth quarter earnings conference call. Actually, before we get into discussions of our business, I think we have to first express our deep concern and give sincere condolences to those who are bearing the brunt of this tragedy unfolding in Ukraine. Simply put, all of us at NextNav, both as a company and as individuals denounce this senseless violence and brutality and really hope that the situation can be resolved with this little additional suffering and hardship as possible. It's undeniably been a difficult few years for businesses, governments supply chains and individuals and families, first with COVID, now with this active armed conflict. But through it all, this must go on, and particularly because we provide the essential public safety and national security services that are a unique attribute of our technology.  Also, just as a quick administrative note, we have posted a short investor presentation to go along with our earnings material and our conversations and remarks this quarter. For those of you who are listening today on the webcast platform, the presentation deck is available there on the platform for your review during our remarks. You can also download it on the Investor Relations website under the Events & Presentations section if you prefer, we hope you'll take a few moments to review that.  And with that, let's go ahead and move into the business aspects of today's call. I'll start by providing a quick overview of NextNav's business strategy and industry positioning. Then, I'll hand it over to NextNav's CEO, Ganesh Pattabiraman and take a deeper dive into the business outlook and the new customer wins. Chris Gates, NextNav's CFO will then wrap up with a review of the financials. And we'll -- we think we've left plenty of time at the end of the call for all of your questions.  2021 was clearly an exciting year for our company. We successfully closed the business combination with Spartacus Acquisition Corp. in the fourth quarter, and are thrilled to continue building on our unique technology story. The transaction itself was a strong validation point for our technology, business plan, leadership, as we continue to build on that momentum. And as part of the process of becoming a public company, we added some very significant new long-term strategic investors. This includes Koch Industries and several long-term investment groups. They were attracted not only to our technology but also our strong underlying network of nationwide spectrum assets and the deployed Pinnacle network.  Unlike other spectrum bridge companies, however, NextNav has a proven and internationally standardized technology addressing a compelling need for resilient, reliable and available GPS, 3D location and timing services. We also have a vertical location capability that's already generating revenue, and is rapidly adding new platform partners and developers. It has admittedly been a challenging time to go public, particularly with the difficult macroeconomic situation over the past few months, the only need to see the daily ups and downs of the Dow and NASDAQ to see what's going on there. But we do feel confident in our technology and our solid spectrum asset value.  We're also encouraged by the traction we're gaining in key markets and with notable platforms and partners, both here in the United States and important international markets. In a moment, Ganesh will discuss the various partnerships and platforms that we’re engaged with, as well as the international traction that we're experiencing. Some of these were expected, and we've spoken about them in the past. Others represent new initiatives and potential partners who have surfaced that expressed interest in our capabilities, and have the potential to expand either our geographic or our industry reach.  Turning to our technology, during 2021, we not only commercially introduced Pinnacle, but we expanded the footprint of our Pinnacle technology to over 4,400 markets across the country, covering over 90% of all buildings above three storeys in the country. This substantial coverage area, and proven accuracy led to an agreement with one of the nation's largest wireless carriers for E911, a capability that we are working hard to integrate into their network as rapidly as possible right now. Pinnacle’s vertical location capabilities continue to see adoption in the public safety marketplace, and increasingly in the gaming market segment, where it serves not only as part of the gameplay, but also as a mechanism for fraud control, providing validation or qualification of participants. Meanwhile, our terrestrially based nextgen network TerraPoiNT continues to perform well with its broader capability of full 3-dimensional position, navigation, and the critical timing aspects. All independent agencies and groups, whether they're government or industry, have consistently validated TerraPoiNT’s market leading accuracy and reliability. Those groups, as we’ve said before, include Department of Transportation, Homeland Security, CTIA/ATIS, NASA and others. Assessing an elevation is not restricted to the United States alone, as NextNav recently disclosed its participation with European Commission's Joint Research Center, alternative positioning, navigation and timing evaluation that took place in Ispra, Italy. These tests further the European Union's desired creation of a backup to the global navigation satellite system, such as Europe's own Galileo System as well as GPS. And is intended to assess which technology could strengthen and expand the overall European PNT capacity. It's probably important to note that this European Commission's interest in protecting their critical infrastructure and PNT systems was already gaining traction even before the Russian attacks on Ukraine. That military action of course vividly highlights the ongoing vulnerabilities of today's GPS, Galileo, and GNSS Systems, whether they're being used for military action, or as a timing source for telecom networks, financial transactions, power grids and other critical infrastructures. The U.S. government's awareness of these vulnerabilities has also become more focused because of this current conflict. So recently passed FY '22 budget includes ramped up funding for DoT to examine next steps following their 2020 technology assessment. And DHS and DOD also secured designated funding specifically targeted towards ensuring GPS resiliency. NextNav is fully engaged with these efforts and assessments and expect to be an integral part of the government's roadmap to address these concerns. And the fact that TerraPoiNT's transmitters are terrestrially based and difficult to jam or spoof are key elements in their ability to penetrate deep inside buildings throughout urban markets. That in-building penetration and wide area coverage are also buttressed by the sub gigahertz location of the spectrum asset itself. As most of you already know, our contiguous sub gigahertz spectrum sits in the middle of two bands of LTE owned by Anterix, which allows us to be integrated into mobile handsets quite easily, and which provides excellent propagation benefits. This spectrum asset representing 8 contiguous megahertz and over 2.4 billion megahertz passed is nationwide and covers virtually all key markets, and the vast preponderance of all urbanized areas in the country. Thus, the ability to backup GPS and provide critical infrastructure timing resiliency in urban markets is quite extensive and quite comprehensive on a nationwide basis.  Hopefully that gives you a broad overview of where we stand if we look forward to 2022. As Chris will cover later, a number of the large contracts and development agreements we've announced in 2021 are already showing up in the billings and deferred revenue on our balance sheet in advance of the realized revenue which will flow this year as the network integrations are completed and the commercial service begins on those platforms.  So let me turn it over to Ganesh now to get into the specifics of some of these initiatives, and how we're growing the company to accelerate both marketing activity and revenue as we move into 2022. Ganesh?
Ganesh Pattabiraman: Thanks, Gary. Welcome everyone to the call. As we’ve noted in our press release, we had a very strong year and we accomplished a significant amount of throughput throughout the year in 2021. But before I get into our comments in a little bit more detail, I would like to express our solidarity with the people of Ukraine. As a person who's been to Kyiv many times in my youth is quite devastating to see the state of the city and the country. And I do hope common sense prevails quickly and peace returns to Ukraine.  And with that, let's turn over to the business in 2021. So 2021 was quite a busy year for us at NextNav. Not only did we take the company public through a successful reverse merger with Spartacus Acquisition Corp., but we also made great strides on the operational front building out our Pinnacle and TerraPoiNT technologies, while also signing several new strategic partnerships across industry verticals, and across various markets.  Let me delve into these in a little bit more detail, starting with the Pinnacle service. As we've noted previously, the Pinnacle network is available in 4,400 markets across the U.S. As a reminder, this is a passive network that does not use our spectrum asset. Rather the Pinnacle network provides the most accurate floor level altitude with existing GPS or Wi-Fi based horizontal location technologies that the industry provides.  This past year, we commercially launched our service with AT&T FirstNet to provide highly accurate altitude capabilities for first responders on the FirstNet network. And so that was a very significant milestone for us as public safety has started using these services. As we shared previously, the FCC is also requiring carriers to meet z-axis location requirements for 911 beginning in April of 2022. And we're looking -- working with both carriers and device OEMs to help them meet those requirements.  Last fall, we signed an agreement with Qualcomm to enable mobile phones to deliver z-axis capabilities, with very little modifications to carrier infrastructure at scale. This allows for a wide penetration of devices. This was followed up with the announcement that we had partnered with one of the largest wireless operators in the country to deliver z-axis capabilities to help them meet the FCC’s 911 mandate across their entire user base. We believe this is further validation and -- validates our technology and the trust operators and OEMs placed in it to save lives.  In the mass market and IoT space, we have several different activities in progress, specifically in the gaming and IoT area as we continue to see strong interest and demand for 3D geolocation capabilities. We were recently included in the market map of Metaverse technologies by Jon Radoff, as part of the Spatial Computing framework. We also signed an agreement with echo3D, one of the content management and distribution platforms for AR/VR experiences. They have over 18,000 developers on that platform specifically focused on providing augmented reality capabilities and these include companies like Repligen and Spatial.io. These efforts come on the heels of our service being awarded the Unity Verified Solution status in early 2021. And we were also awarded a MegaGrant by Epic to develop a capability on the Unreal platform. Both of these platforms together give us access to millions of developers to seamlessly integrate the vertical location capabilities into any application in gaming that supports these engines. Much like our previously announcement with Atlas Earth, the partnership with echo3D is NextNav’s latest advancement in this field, further demonstrating the enhanced vertical location that brings to the gaming world.  However, as we mentioned a few times in the past, we're not only enabling the 3-dimensional blue dots, but the entire ecosystem and visualization aspects of it. In that regard, we signed a deal with CRG, who is a provider of best-in-class indoor and tactical mapping solutions for public safety to build highly accurate indoor maps with embedded vertical location data. The integration of NextNav’s Pinnacle service will strengthen existing and new building surveys with critical vertical location data to help ensure that each building has the proper protocols in place to aid emergency response. Now turning our attention to the TerraPoiNT technology, we continue to make solid progress to building towards the launch of the system. Earlier this year, we announced the trial activity at Ispra in Italy that Gary discussed. This is very similar to the program launched by the Department of Transportation in 2019 and 2020 to evaluate backup systems to GPS here in the U.S. This has now obviously taken on added significance in the wake of the Russian aggression in Ukraine, where jamming of GPS and the European Galileo System has become quite common. We believe this is leading to increased security concerns in Europe and similar initiatives for GNSS, or global satellite system backup both in UK and Europe. In the U.S., Congress has allocated approximately $15 million to the Department of Transportation in the recently passed budget bill for 2022. This essentially establishes steps to move forward on the developing of backup system to GPS and then additional funds to the tune of $157 million were also allocated to DHS' R&D group for studying four, five different categories including PNT resilience in the infrastructure bill. We are obviously actively engaged with all those parties and in helping establish the next steps there. In addition, we were recently elected to the chair of the IEEE P1952 group dealing with resilient position navigation and timing standards. This group specifies technical requirements, resiliency levels and expected behavior of user achievement. This is an important step in the government specifying PNT resilient standards for critical infrastructures and industries across the country. In terms of the TerraPoiNT build out, we expect expenditures will continue to be modest in '22 as we optimize the commercial transmitter design, conduct site selections and overall network planning. Our strong balance sheet and licensed spectrum holdings allow us to maintain control over the pace and scope of that activity from both the capital and technology perspective. As we continue to expand the business and our technological footprint is growing, we're also hiring at a pretty robust pace. We've recently brought on a new General Counsel, as well as a VP of Government Affairs, Ed Mortimer. Ed comes to us from the U.S. Chamber of Commerce, where he was the Vice President of Transportation and Infrastructure, and was instrumental in passing the $1 trillion infrastructure bill. We are thrilled to have him join the team and to benefit from his expertise in bringing complex issues to a positive resolution.  In closing, it's been a very exciting year for our business and I'm thrilled for what lies ahead in 2022. We're continuing -- committed to continuing expanding our partnership, both on Pinnacle technology and as we prepare for the build out of the TerraPoiNT technology. It is clear that there are vast use cases for our technology and we feel confident that we're on the strong path in the months ahead of us.  With that, I'd like to turn it over to Chris who will walk us through the financials for 2021. Chris? 
Chris Gates : Thanks, Ganesh, and thank you everyone for joining us today. We're excited to share our progress over the fourth quarter and the full year, as well as what makes us excited about the future. For those of you who are new to NextNav, as Gary and Ganesh highlighted, the closure of our transaction with Spartacus Acquisition Corp. in October was a momentous event in the life of our company. And we're very pleased with the results of the transaction which featured in oversubscribed PIPE with notable long-term shareholders, I think that Gary highlighted, and that allowed us to exit debt free with well over $100 million of cash after paying all our transaction expenses.  So this has provided us with capital and capital markets access, but it's also increased the visibility of our company commercially. As Gary and Ganesh highlighted, we accomplished many milestones at group platform and ecosystem during the year, which we're confident places us on a solid path for growth. For the year ended 2021, we built our customers $2.4 million, including over $1.6 million built in the fourth quarter, which resulted in full year GAAP revenue of approximately $800,000. And we currently have a deferred revenue item on our balance sheet of $1.6 million.  As we ramp our business, we anticipate -- we've talked about this on past calls discussing our business and growth, we do anticipate periodic and potentially irregular differences between recognizing deferred revenue, especially when we bring major new customers on board as occurred in the fourth quarter of this year.  Our full year operating loss was $43.2 million, which included $1.7 million in stock compensation expense, $1.8 million in depreciation and amortization and $9 million in warrant expense related to consideration provided to AT&T for hosting elements of our Pinnacle network. Adding back these noncash items resulted in cash expenditures for operations in 2021 of $30.7 million. Our net loss for the full year was $144.7 million for the year. And as with our operating expenses, this included in addition to the noncash items above, significant noncash expenses including $84.3 million in warrant valuation adjustments, about $9.3 million in amortization of debt issuance costs and $4.7 million in paid interest. Of course going forward with a debt free balance sheet, we will be experiencing debt amortization or paid interest expenses.  We do anticipate periodic work valuation adjustments, although going forward our financials, of course, again, will not show in the debt related balance.  Now our balance sheet at the end of 2021 was strong with $100 million in cash and no debt, providing ample capital and balance sheet flexibility to grow our Pinnacle business, and begin expanding the deployment of our TerraPoiNT service. This balance sheet strength combined with our existing nationwide Pinnacle network, intellectual property portfolio, and 2.4 billion megahertz PoPs spectrum provides us with an extremely solid foundation to grow our business. We have a very solid asset base that sits behind our balance sheet and our business. We're very excited about that. In terms of outlook, we anticipate beginning to see the benefit of customers and platforms signed in 2021 as early as the first quarter of 2022 as we leverage existing relationships and continue to build momentum across multiple verticals, as Ganesh highlighted, which includes, of course, the app economy, public safety, and E911.  As an emerging business with a very new set of technologies and customers, we're not providing specific revenue guidance for the year at this time. As we grow our business in 2022, we expect our cash expenses to increase. We are actively adding headcount and continuing to invest in our core technology and physical network presence, and working to build visibility in our company. And I should offer that at this stage of our growth while we are watching inflation closely and do anticipate somewhat higher employee and equipment costs, we don't expect at this time these effects to be material. With that, I think we can open up the call for your questions.
Operator: [Operator Instructions] First question is from the line of Mike Crawford with B. Riley Securities.
Mike Crawford : Just starting with E911, given that you're working to integrate your absolute vertical solution into the large nationwide wireless carriers' network, just ahead of the deadline, does that mean that none of the carriers are going to meet the deadline? Or do we know what the other two large national carriers are doing?
Gary Parsons: This is Gary, I'll handle this first and then maybe Ganesh can weigh-in in that as well too. Because we're integrating from a technology standpoint differently with different carriers, because they each have their own particular way in which they want to interface with their network for 911 location. But regarding trying to meet the April date, there's a mass scramble that is going on. But I think it's also a situation where as you'll remember, they're under a consent decree for having missed the original deadline. And they put forward a plan to move as quickly as they could to do that. We do believe that they are making efforts towards doing that. But how many of them will be actually in operation for a comprehensive amount of their handsets and customer base at that point in time, is something that they are working with the Enforcement Bureau at the FCC.  And the clear and simple fact is, the deadline that they had proposed of bumping it out the year has given them some breathing room, but they're still under significant pressure to do so. And that has what led obviously to the agreements we've reached and also with the implementations that we're technically taking on with a number of the different carriers. But since it is in enforcement at the FCC, we really can't speak to that. That's pretty much confidential between the FCC and the individual carriers. They don't necessarily even publicly say what's going on there.
Mike Crawford: Thanks, Gary. So, as part of NextNav’s business combination with Spartacus, there was one point in time a revenue forecast that was $2 million in fiscal '21, $24 million in '22, ramping at $506 million in 2026. Now, with the deSPAC, given the large number of redemptions, you now have $100 million of cash, which is great, so you can build out at least TerraPoiNT in the most important markets initially. But my understanding is you're not giving revenue guidance for '22 but can you make any comments on pace or scope of TerraPoiNT spend and or build out at this point, or what we should think about longer term macro revenue projections?
Gary Parsons: Yes. Let me kind of address some of that and then maybe Chris can kick in, particularly. I mean, like you mentioned, the $2 million 2021 number that was back in the original PIPE roadshow. And the reason we're cautious about how we do those projections going forward is, there are lumps that come in, in big chunks, as you see it, particularly for some of these large network integrations. And from a build standpoint or something, we were over $2 million. All of it didn't fall to the recognized revenue yet, because it hasn't been completed. So you'll see some elements of that. But we're obviously continuing to believe that not only the growth of Pinnacle, but also the international expansion, which you'll remember was a significant portion of the growth that we were showing in the outer years will take place.  Now, I think we mentioned earlier that -- or go back to the PIPE timeframes and the very first conference call that we had as well too, that we were not necessarily projecting immediate revenue from government sources, on the federal government side. I mean, obviously, we're assigning individual things and we had gotten some grants from DHS and others. I would say right now that while we never want to be in a situation of projecting the government to take certain actions, we're feeling pretty good about the fact that it is being increasingly recognized across various agencies. The needs of it. Obviously, the urgency highlighted by the current conflict in Ukraine, but also there is even just in the recently passed budget. I mean, this was not a future thought or proposal. That's the actual budget for Department of Transportation that has been goosed a bit to move them to the next stage a bit and the infrastructure bill provided some additional funding as Ganesh noted in the DHS budget. But some of it is specifically targeted towards resilient GPS. And then separately, DoD has budgetary allocations for that, although our work with [DoT] at this point in time has been somewhat less than that. We've been more focused with the critical commercial infrastructure in the United States versus Department of Defense needs overseas. So that's just a recapitulation of that.  Chris, do you have anything to add both on what we see right now, both in this quarter and this year's returns, and others?
Chris Gates: Well, I think we want to be a little bit cautious, as we said about looking too far into the future, especially, as we look at -- as you highlighted, in 2022. In 2021, we were in fact able to build even ahead of our early expectations on the business. And I think we're very happy about that. But in a lumpy way and of course, there are differences in terms of how you report revenue versus especially certain types of billings, under the various contract structures, which we've talked about in the past. So, Gary, I think that captures a lot of it.  The other thing that I would point out is that with respect to 2022, we've never had in our plan broad TerraPoiNT deployments in this year. We had always suggested that -- and we're still planning our TerraPoiNT deployment really in the 2023 and beyond timeframe for that system to become available in a broad way. We do have some markets and some at various stages of deployment, and have some capabilities there. But the broad CapEx program associated with the nationwide deployment of that system really is a 2023 and beyond project. And that's consistent with what we've been talking about.
Ganesh Pattabiraman: Yes, and just two maybe sort of emphasize that point. I think -- this is Ganesh, what we've -- what we are doing is exactly sort of what we had projected in 2021, '22 and '23 is a lot of our revenue focus and -- will come from Pinnacle, and will come from the rollout of the service, not just in the U.S., but internationally. And then -- and I think we are absolutely on path to doing that. And as we mentioned, a lot of activities in regarding TerraPoiNT in '22 and '23 are really geared towards building the product to scale, services scale, and then the markets and doing network design and all of those elements. So I think all of those elements are continuing as per plan. And there hasn't been any sort of material change in direction and how we were envisioning this.
Mike Crawford: Okay. Maybe I'll just ask one more and then stop. But you mentioned Italy, what's going on in Italy and clearly with the strong terrestrial signal you can broadcast with the TerraPoiNT solution, that would be much harder for Russians or anyone else to jam. So that's great but what about with MetCom in Japan where you're testing Pinnacle and TerraPoiNT I believe in the Kyoto region. Is there any update there? 
Ganesh Pattabiraman: Yes, so I’ll take this one. So MetCom is continuing to make progress in Japan as we I think noted, they launched up -- they're trialing both the Pinnacle and the TerraPoiNT service. Obviously, the Ministry has given them allocated 5 megahertz of spectrum on an experimental basis right now to assess the viability of TerraPoiNT from Japanese market. And so that is going through its paces with the Ministry on what they believe are hopeful to being sort of in approval in a couple of years.  On the Pinnacle side, they do have deployment for a trial basis in the Osaka region. And those, right now they are doing trials with a variety of entities that they have I think publicly disclosed. SATCOM is one of them and you see -- and a handful of other companies. And I think they're collecting good data, and we remain positively inclined, that that is going to then translate into a commercial rollout of Pinnacle in Japan, similar to the U.S. probably earlier than the TerraPoiNT service as these trials mature.
Operator: The next question is from the lien of Tim Horan with Oppenheimer.
Tim Horan: Thanks, guys. There's obviously a lot going on. But do you think the increased federal subsidies here in the United States and increased awareness in Europe, I mean can it have a material change to the business model? You think you can get 10s of millions or 100s of millions of subsidies here or abroad? Or do you think the Ukrainian war will lead to accelerated buildouts as awareness kind of increases both here and abroad? 
Gary Parsons: Hey, Tim, that's probably the billion dollar question there. It clearly is focusing the attention. It's not like governments or even the military in any of these locations weren’t aware of this already, moving towards it already. As we noted in our comments, the whole European Commission trial that took place in Italy, I mean we've been working on that since fourth quarter last year trying to get ready to prepare to do it. So it was something that they knew they wanted to do just like it's bipartisan and supported in the United States over all of these years.  I think the real question, hard to handicap right now is how much does a clearly visible high visibility situation where the vulnerabilities are not only obvious, they're being exploited. I mean, right now. And I know Ganesh can probably go into more of this because he's following very closely and from all of his time in Europe is very close to the things that they're encountering over there. But it's in that. And I think it's clearly known, if we have operational ready to go, thanks. And the problem is, this is a system that needs to be deployed before the problem happens. It's not something that you can award spectrum, build out a terrestrial network, boom, in reaction to a problem. Everybody now understands you got to get ahead of the ball. And so I think that is providing significant motivation. It's also providing significant interest and assertions from Congress. I mean Congress previously had sort of, to a certain extent allowed DoT and DHS to just be leading by that effort that they were going forward. Now, they're clearly not only putting the funding behind it, but specifically asking that certain paths to be completed by certain non-brands. So, yes, we’re seeing what that all turns into. But clearly, as business people, we have to take that into account and work closely with those parties, both in the United States and in Europe and in Asia. I mean, obviously, Japan came up with a spectrum kind of overnight to put that trial in place with MetCom. Europe was able to do it for the trial purposes, but would have to be more comprehensive to get something that would be [EUI] for deployment. So at this point in time, I guess all of us would love to say, hey, give it X percent probability within X period of time. We just don't have that level of certainty on it. All we know is that we now have a highly engaged set of agencies and congressional committees and countries, particularly across Europe, that are meaningfully trying to figure out how they can ensure that this is in place before they have a more desperate need for it.
Ganesh Pattabiraman: Yes, I mean I think you mentioned right. Yes, I would basically say -- yes, I think the awareness level obviously has gone up significantly. And the interest in desire to do something I think has gone up. How that translates I think we will have to see, but I think we remain hopeful.
Operator: The next question is from the line of Jaime Perez with RF Lafferty.
Jaime Perez: Now, given the issues with semiconductors and supply chain, I mean any risk to networks, either Pinnacle or Terra start being to rollout and deployment being pushed back or any issues you might foresee there?
Gary Parsons: I’ll let Ganesh handle that mostly, because he's pretty on touch with that. Fortunately, I mean, the good news is our Pinnacle network is built out. So it's there we were able to work through the supply chain issues to make sure that we got it out and deployed. And it doesn't require -- I mean, it's only software with enhanced test to be able to operate it. So for the Pinnacle side of this equation, that really isn't a significant element. But Ganesh you can walk through whatever you feel is appropriate relative to the TerraPoiNT implementations. 
Ganesh Pattabiraman: Yes, I mean, so I think as noted earlier, I mean, right now, for TerraPoiNT, we are working through a lot of the sort of getting the product ready to scale type of effort, and that involves the hardware, software, et cetera. I think the -- for the efforts that we currently have underway, we don't see there to be a material impact, because it's not -- we're not procuring thousands of parts to get. But as we get closer to the end of the year, et cetera, we would continue to monitor that situation and evaluate it. But for sort of our immediate needs on TerraPoiNT, we don't see any material impact there on building the link platform.
Jaime Perez: Now, focusing on some of the end market like the Metaverse, any update on that? I mean, we see on the news about virtual real estate, and it's something that your product gets the idea for especially location of exact real estate on to Meta?
Ganesh Pattabiraman: Yes, it's quite fascinating. We're definitely quite -- it's amazing to see how that is playing out but -- and values that are being ascribed. But yes, I mean, I think we are absolutely seeing a lot of activities in realizing the Metaverse and the elements required for it. And this is in line with sort of the announcement we made last year with Atlas Reality, which was essentially selling real estate in the virtual world. And there they needed our location capability not just to determine where you are, but also as a method to prevent fraud so that users don't spoof their location.  We are seeing -- I mean, because of the work and interest we're seeing in the ecosystem, as we noted, we got included in the Metaverse -- map of Metaverse technologies that are required to enable the plat capability. So the market map of Metaverse by Jon Radoff. And so that was quite exciting to see that. We believe -- I mean, we're seeing a lot more activity there right now, as various game developers and publishers are beginning to build the capabilities to support that type of virtual reality. And so we remain very optimistic on that space. And we're investing heavily to help support the different app developers to make sure their development and implementation can be eased as much as possible.
Jaime Perez: And I have one more question. Let me turn it back to the European. I mean right now we're seeing developed countries are being attacked by another country. And of course, the infrastructure is being destroyed at first. One, first you do is take out the communications. I mean, it could -- I mean, terrestrial, correct me if I’m wrong, is based on cell towers. Could that be taken underground, hidden away from let's say any potential physical threat to it? 
Gary Parsons: This is Gary. I'll hit a little bit there maybe first and Ganesh you can go in more detail on it. But I mean the advantage of the TerraPoiNT transmitters being around is they aren't necessarily on the same towers that the telecom sites are. Sometimes they are, but you actually need different locations, so you get the different architecture or geometry of the signals coming in from different directions. So, they normally would not in that case, they're not valid out by the capabilities that are just hitting telecom infrastructure. The other value is obviously much easier to jam. And that's what's happening right now, not only spoofing of the GPS satellites, but also jamming them. We've got maps that are published now from third-party, showing the amount of jamming that's going on across the Ukrainian theater, and actually countries all bordering around there as well, too. But with a signal that's 100,000 times more powerful. And the fact that across a large city, say like Kyiv, it might be 50, 60, 70 different transmitter locations. So it's much more robust and difficult to take out. The bigger thing is, if you're trying to protect timing, which is one of the key elements of the power grid in telecom networks, and things like that, you really only have to see one of our towers. You don't need to see 4 which you would need to get a full location, you only need to see 1 to get the timing aspects.
Ganesh Pattabiraman: Yes. Let me add a couple of points here. So the fundamental problem with GPS is that it is a space-based signal. And so it is very easy to jam and spoof, and what the Russians are doing from their side of the border, or from places like Belarus is they are able to put very strong jammers that can cover large parts of Ukraine without having to send in any equipment or infrastructure. So that's the problem with any sort of space-based system.  The advantage we have is, because we are terrestrial and because we are geographically diverse in our deployment, you don't have just one site in a given location you have 10s or hundreds of sites, depending on how big the market is. The likelihood of knocking each one of those out is low. And even if you do, there's the -- because we can listen to the signal below the noise floor, you actually are able to detect far more towers than you would for a communication system. And so that makes it a much more robust platform, that even if some sites are taken out, you can get signal from the others to then provide the appropriate functionality for the longer term. So I think that is part of the security. I mean, ultimately, any of these -- all the technologies, et cetera, platform, it's introducing greater degrees of resilience to make it more and more difficult for third parties to act nefariously and take it out easily. 
Operator: I will now turn the conference over to Gary Parsons for any concluding remarks. 
Gary Parsons: Well, thank you very much, Taniya. Thanks, everybody, for joining us. We feel very good about our 2021. We're looking forward to 2022 when some of this deferred revenue will start turning into realized revenue, and hopefully as we move forward with the government in trying to see what we can do to deploy TerraPoiNT further to protect critical infrastructure.  We thank you very much for joining us on today's call and look forward to our next time together. Thanks a lot. 
Operator: That concludes the NextNav Q4 2021 Earnings Call. Thank you for your participation. You may now disconnect your lines.